Operator: Ladies and gentlemen, thank you for standing by. Welcome to The TJX Companies Third Quarter Fiscal 2022 Financial Results Conference Call. [Operator Instructions] 
 As a reminder, this conference call is being recorded, November 17, 2021. I would like to turn the conference call over to Mr. Ernie Herrman, Chief Executive Officer and President of the TJX Companies, Inc. Please go ahead, sir. 
Ernie Herrman: Thanks, Missy. Before we begin, Deb has some opening comments. 
Debra McConnell: Thank you, Ernie, and good morning. The forward-looking statements we make today about the company's results and plans are subject to risks and uncertainties and that could cause the actual results and the implementation of the company's plans to vary materially. These risks are discussed in the company's SEC filings, including, without limitation, the Form 10-K filed March 31, 2021. 
 Further, these comments and the Q&A that follows are copyrighted today by the TJX Companies, Inc. Any recording, retransmission, reproduction or other use of the same for profit or otherwise without prior consent of TJX is prohibited and a violation of United States copyright and other laws. 
 Additionally, while we have approved the publishing of a transcript of this call by a third party, we take no responsibility for inaccuracies that may appear in that transcript. Thank you. And now I'll turn it back over to Ernie. 
Ernie Herrman: Good morning. Joining me and Deb on the call is Scott Goldenberg. I'd like to start our call today by once again thanking our global associates for their continued hard work and commitment to TJX. As I've said before, I want to give special recognition to those associates who have been physically coming into work in our stores and distribution centers throughout the pandemic. 
 In recognition of their continued efforts we have awarded a vast majority of them an appreciation bonus, which was the sixth appreciation bonus we have paid during the pandemic. Now to an overview of our third quarter results. I am extremely pleased with both our top and bottom line performance in the third quarter. Overall, open-only comp store sales when compared to fiscal 2020 or calendar year 2019 and increased an outstanding 14%. 
 Importantly, our open-only comp sales growth was just as strong at the end of the quarter as it was at the start of the quarter. 
 Once again, we saw phenomenal comp growth in our home categories across each of our divisions as well as a mid-single-digit comp increase in our overall apparel businesses. 
 Clearly, our great brands and amazing values continue to resonate with shoppers. 
 Overall sales were $12.5 billion, which was over $2 billion more than the third quarter of fiscal 2020 and total segment profit increased by $285 million over the same period. 
 Our strong results are a testament to our flexible off-price business model and our associates. I truly believe we have the best business model and the best people in retail. Throughout the third quarter in the midst of uncertainty in the marketplace around supply chain delays and consumer behavior, our buying, planning and allocation, logistics and store operations teams all did an outstanding job. They ensured our stores had plenty of merchandise for our shoppers every time they visited. Our flexible model has been a tremendous advantage in this environment. We've been able to expand and contract categories and merchandise in our stores so that customers have full racks and shelves to shop when they visit. I am very happy with our third quarter pretax margin increase. Our excellent sales growth and strong merchandise margin increase more than offset the outsized expense headwinds that we have been facing. Our strategy to surgically raise retails on select items is well underway, and we believe it is working very effectively as shoppers continue to see outstanding value every day. 
 Lastly, third quarter earnings per share increased an outstanding 24% to $0.84. 
 As we look to the fourth quarter, overall open-only comp sales are off to a very strong start. We continue to see excellent availability of merchandise in the marketplace and are extremely happy with the mix of good, better and best brands that we are offering consumers. We are confident that we'll have plenty of great merchandise in our stores and online this holiday season, and we will be emphasizing this in our marketing. I'll talk more about the fourth quarter in a moment. But first, I'll turn it over to Scott to cover our third quarter financial results in more detail. Scott? 
Scott Goldenberg: Thanks, Ernie, and good morning, everyone. I'd like to echo Ernie's comments and express our sincere gratitude to all of our global associates for their continued hard work and dedication to our business. I'll start today with some additional details of our third quarter results. 
 As Ernie mentioned, overall open-only comp store sales increased 14% over fiscal '20 and overall sales increased 20% over the same period. This quarter marks the third straight quarter that overall comp sales increased mid-teens or better. I want to recognize the excellent execution on the part of our teams for managing through the supply chain issues facing all of retail and ensuring a consistent flow of exciting merchandise to our stores to support the outsized comp sales we've seen all year. 
 In the third quarter, we saw consistent strength in our overall comp sales every month. Once again, we saw a very strong increase in our average basket across all divisions, driven by customers putting more items into their carts. 
 [indiscernible] Overall, average ticket was flat and improved for the fourth consecutive quarter. Overall, customer traffic was up, driven by a mid-single-digit traffic increase in the United States. As Ernie mentioned, we believe our pricing initiative is working as we've rolled it out to -- rolled it out to very select items across categories. We're extremely pleased that sales, inventory turns and the markdown rates in the third quarter remained very strong, where we have selectively adjusted our retails. 
 Across each of our divisions, third quarter open-only comp store sales increase was also excellent. At Marmaxx, open-only comp store sales increased a very strong 11% and  divisional profit dollars were up 21% versus fiscal '20. Marmaxx's home business continued its outstanding performance, posting a comp increase in line with home goods and apparel comp sales were up mid-single digits. Further, Marmaxx increase in customer traffic, had a very strong average basket, and sales across all geographies were excellent. 
 At HomeGoods, open-only comp store sales increased a phenomenal 34% with consistent strength across all major categories and geographic regions for both HomeGoods and HomeSense. HomeGoods saw outstanding increases in both customer traffic and average basket. We're also very pleased with HomeGoods' divisional profit dollars, which were up 52% versus fiscal '20. As a reminder, HomeGoods margin is disproportionately impacted by freight increases due to its product mix. 
 When looking at Marmaxx and HomeGoods divisions combined versus fiscal '20, total open-only comp store sales for the U.S. increased 16% and profit dollars were up 26%. In Canada, open-only comp store sales were up 8% and at TJX International, comp store sales were up 10%. Comp sales at both divisions were driven by strong increase in average basket. Further, similar to the U.S. home sales across all of our Canadian and European divisions were outstanding. 
 Next, our overall pretax margin for TJX in the third quarter was 11%, up 30 basis points versus fiscal '20. Our pretax margin increase reflects strong expense leverage due to our excellent sales growth. We also saw a significant increase in our merchandise margin, driven by strong mark-on and lower markdowns despite 160 basis points of incremental freight expense. These increases more than offset substantial investments to expand our distribution capacity, higher incentive accruals and wage costs as well as 50 basis points of net COVID costs. 
 Moving to the bottom line. Third quarter earnings per share of $0.84 were up an outstanding 24% versus $0.68 in fiscal '20. Our balance sheet inventory is up 4% on a constant currency basis versus the third quarter of fiscal '20. We were very pleased that our inventory levels on a per store basis improved in the third quarter versus both the first and second quarters. Again, and we can't emphasize this enough, availability of quality branded merchandise is excellent, and we're confident that we have plenty of inventory in our stores and online for the holiday season. 
 Moving on to our liquidity and shareholder distributions. During the third quarter, we generated $1 billion in operating cash flow and ended the quarter with $6.8 billion in cash. In the third quarter, we returned $1.1 billion to shareholders through our buyback and dividend programs. For the full year, we have increased our range of our buyback by $500 million and now expect to repurchase $1.75 billion to $2.0 billion of TJX stock. 
 And now I will turn it back to Ernie. 
Ernie Herrman: Thanks, Scott. Now I'd like to highlight the opportunities that we see to drive sales in the fourth quarter. First and most importantly, we will deliver great gifts and value for the holidays. We are in a terrific position to flow fresh product multiple times a week to all of our stores and online this holiday season. Since reopening our stores last year, we have been buying with longer lead times from many of our approximately 21,000 vendors to compensate for supply chain delays. Further, our vast vendor universe is by far the largest in off-price and has always allowed us to have quality branded merchandise for our shoppers. Importantly, most of the inventory we need for the holiday season has already been delivered to us or is scheduled to arrive in stores and online in time for the holidays. 
 This leads me to my second point, which is that we are set up extremely well as a gifting destination for consumers this holiday season. Our store shelves are full with great gifting selections today, and we expect them to continue to be that way throughout the holiday shopping season. We expect to have something for everyone on consumer shopping lists and to offer an exciting and inspiring treasure hunt shopping experience. We also believe that our great values will resonate with consumers as much as ever in an inflationary environment. 
 Third, our store locations are convenient for shoppers. Our stores are generally in easy-to-access script centers and often near other high-traffic retailers like grocery stores that consumers visit multiple times throughout the season, making for an efficient shopping trip. 
 Next, we believe our holiday marketing campaigns, which started earlier this month, will help drive new and existing customers to our banners. This year, each of our divisions will showcase our differentiated shopping experience by reinforcing our value leadership while also highlighting the fresh flow of merchandise throughout the holiday season with messaging such as endless selection, great prices, all season long. 
 In the U.S. and in Canada, we will leverage the strength of our retail brands together in multi-banner campaigns. In Europe, we have a strong cross-channel marketing plan, which includes TV for the first time ever across all of our European markets. At the e-commerce, we launched homegoods.com in September and are happy to offer consumers our exciting and collect to come selections 24/7. 
 Looking ahead, we plan to bring more home categories to homegoods.com. On all of our e-commerce sites in the U.S. and in the U.K., we plan to offer exciting gift selections for the holidays that complement our in-store assortments Like our stores, new merchandise will be arriving frequently on our sites, making for an exciting online shopping experience. 
 Okay. Beyond this year, we believe we are set up extremely well to significantly grow our market share and improve our profitability. On the top line, we see tremendous opportunities with our sales and traffic-driving initiatives and our global store growth plans. We have gained significant market share this year, and we see excellent opportunities to keep attracting more consumers around the world. Giving us confidence is the appeal of our values, great brands and treasure hunt shopping experience. In all of the countries, we have brought our off-price concept around the world, too. It has resonated with consumers seeking great brands and fashions at great value. 
 In terms of profitability, I want to reiterate that we remain highly focused on improving our pretax margin profile over the medium to long term. We believe our top line initiatives can lead to outsized sales which is our best opportunity to offset some of the persistent cost pressures we face. In addition, we're very optimistic about the margin opportunity from our strategy to surgically adjust retails while maintaining our value proposition for consumers. 
 Turning to our ESG efforts. I'll start by saying that protecting the health and well-being of our associates and our customers remains a top priority, as it has throughout the pandemic. I also am pleased to share with you that our 2021 global corporate responsibility report was published this past quarter and is available on tjx.com. The report summarizes our fiscal 2021 initiatives and progress within our 4 areas of focus: workplace, communities, environmental sustainability and responsible business. 
 In addition to our report, we have published an appendix of relative ESG data and frameworks, including our first disclosure that is aligned to select metrics from the sustainability accounting standards book, or SASB. You can learn more about our efforts in our report, but I'd like to share a few highlights of our latest work with you now. 
 I spoke on our last call about our commitment to inclusion and diversity and our work to help support a more inclusive and diverse organization. Since that time, we are well on our way to launching a variety of new programs for our associates, including new mentoring programs, associate-led inclusion anniversary advisory boards and expanded partnerships with community-based organizations to support our recruitment efforts. We also recently completed our global associate inclusion and diversity survey, which will help inform our longer-term priorities. Looking ahead, we expect to publish our 2020 EE01 data by the end of the year. 
 In environmental sustainability, we made progress in our global science-based emissions reduction target. We are pleased to report a 32% reduction at the end of fiscal 2021 in greenhouse gas emissions from our direct operations against fiscal 2017. Our global approach to reducing our climate impact includes emissions reductions actions focused on reducing our energy consumption and expense, also investing in energy efficiency projects and sourcing low carbon and renewable energy sources for our direct operations. I look forward to continuing to update you on our progress in this important area. And as always, there is a lot more information on tjx.com. 
 In closing, I want to again thank each of our associates around the globe who helped us achieve outstanding third quarter results. We feel terrific about our overall execution, a very strong start to the fourth quarter and our initiatives this holiday season. We are in an excellent inventory position to flow goods to our stores and are confident our associates are in place to meet the sales demand. 
 I want to reiterate my comments in the future of TJX and our ability to grow our top line and profitability over the medium to long term. As an off-price leader in every country we operate in, we believe we are in an excellent position to capture additional market share for many years to come and to become a $60 billion-plus revenue company. 
 Now I'll turn the call back to Scott for a few additional comments, and then we'll open it up for questions. 
Scott Goldenberg: Thanks again, Ernie. And just a few brief notes before we move to Q&A. In terms of the fourth quarter, we are very pleased that overall open-only comp store sales growth to start the fourth quarter is up mid-teens. Keep in mind that comp sales growth in the fourth quarter of fiscal '20 was a very strong 6%. 
 As to our fourth quarter pretax margin, we're continuing to face significant expense headwinds. Specifically, we're currently expecting incremental freight costs to be about 80 to 90 basis points more than the third quarter. This is primarily due to the significantly higher market rates we're paying in order to secure capacity to ensure our stores continue to have plenty of inventory. Further, we anticipate that the combination of investments to expand our distribution capacity, incremental wage and net COVID costs will be similar to the third quarter levels. Looking to next year, we feel great about our sales and customer traffic opportunities, the buying environment and our merchandise margin and our ability to surgically adjust retail. As a reminder, this year, we've been benefiting from the huge expense leverage on our outsized double-digit comp sales. Again, we feel great about our top line and margin opportunities, but it's still too early to forecast comp sales or costs for next year. I want to reiterate what we said on our second quarter call, which is despite the continuation of outsized expense pressures in the macro environment, we believe our pretax margin can get very close to the double digits next year. To be clear, we expect the level of margin deleverage from the combination of investments in distribution capacity and the incremental freight and wage costs to be higher than it was pre-COVID, but less than this year. 
 In closing, we feel great about our execution and strength of the business, both operationally and financially entering the fourth quarter. We have a strong balance sheet, and we are well positioned to take advantage of inventory opportunities, including packaway, that we will believe -- that we believe will arise from the disruption in the supply chain while also continuing to invest in the growth of our business and return significant cash to shareholders. 
 Now we are happy to take your questions. [Operator Instructions] Thanks. And now, we will open it up for questions. 
Operator: [Operator Instructions] Our first question comes from Matthew Boss. 
Matthew Boss: Great. Congrats on another strong quarter. So Ernie, I think you've made it crystal clear how you feel about availability of product today and through holiday. So I won't touch on that. But my question is, your mid-teens stack comp implies a top line run rate exiting this crisis. It's nearly double your pre-pandemic trend. Is this new customers? Is this larger basket? Is it a combination of both? 
 Scott, are you seeing any pushback at all on pricing? And how best to think about expansion of the AUR initiative from here? 
Ernie Herrman: Yes, Matt, good question, getting out the foundation of what's going on. Clearly, the run rate we're having is based on numerous things or I think we wouldn't be achieving these outsized comps. So yes, we're getting new market share, new customers from the data we showed, but we're also getting an increased basket. Scott can talk to that a little bit, but that's been happening really consistently. I think we mentioned that in the script. 
 There's also a conversion thing that's also happening, Matt, where I think when the customers come in, we believe we're converting at a higher rate, so they're making the purchase because there are certain times you have customers come in and they don't purchase, right? And so I believe we're running at a successful way in that manner because we have such good brands and great value out there. And the fact, obviously, at the same time, we've been surgically addressing the retail is a great indicator for the future, right? Because if we're getting the new customer, if we're getting increased visits, I would also look at it this way: We have a certain percent of our customers that are more occasional visitors and certain that are more regular visitors. And we're getting, we believe, increased visits as well. And again, conversion is at a higher rate. So all cylinders are hitting. 
 I guess I would caution us not to assume that we will run kind of at more like a triple the rate of what we used to run as you look down the road. On the other hand, the market share we're gaining now, and we think many of these customers are going to stick, right? We're going to -- we're capturing it. We're obviously making many of them very happy with what they're experiencing when they come in. So that bodes well for -- that we're acquiring and we'll be retaining some of these new customers as we go forward, which, again, all is a great indicator. 
 Your second question, was it around the margin, or no? On the -- the average retail, I guess? Matt? 
Matthew Boss: Yes. So have you seen any pushback to pricing? And where does the AUR initiative go from here? 
Ernie Herrman: Yes, yes, yes. Okay. So no, that's what it was. No pushback to pricing. We have had, I would tell you, a higher hit rate of success than we even anticipated. We thought there'd be a handful of items here or there that we would run into challenges with, but that has not been the case. It's been very few and far between where we've run into any hiccups on the adjusting of retail, which means as we continue to go ahead -- and again, we will not do anything that jeopardizes our mix being at better retail than anyone around us on like-for-like product. 
 And we can't talk to price points, obviously, on different products. We're not responsible for the quality or the brands where they retail -- that we don't carry from other retailers. But on the upstairs brand, so to speak, department store brands, we are feeling there's a lot more room for us to surgically do this well into the next few years. So we're feeling very bullish about next year as well. So hopefully, that answers your question. 
Operator: Our next question comes from Lorraine Hutchinson. 
Lorraine Maikis: It sounds like you're really pleased with your inventory position for holiday. But as you look into calendar '22, is there anything that you're seeing that concerns you around product availability for spring? 
Ernie Herrman: Lorraine, nothing. So we are -- the teams -- I would like to put in a plug again for our teams where I give them so much credit on the way they manage. I think we have more unknown and volatility given the supply chain ups and downs and the way our business is trending back. And we talked to you and many, as we talked back in the first half of the year, right? As you could see, our trend's starting to take place. 
 I give the teams credit for stepping out and buying earlier, as we said in the script. Buying more earlier to time the cadence of when we get the deliveries, and then anticipating some of the supply chain obstacles that were going to be out. And obviously, as we said in the script, we have figured out a way, it doesn't mean we're not getting hit with the -- paying the rates of moving goods at the supply. We're getting hit with all of that. But the teams figured out how to get the goods here. So we -- they've established, and I give the merchants, the buying teams, logistics, as I said in the script, everyone has participated in making this happen, planning and allocation. Those same teams have -- I get to see every week what we're placing further out. So I get to see the calendar '22 that you're asking about. And I can see the trend that we're on for opening up for first quarter, for example, which is the beginning of what you're talking about next year. And we are already heading to a very good place for February, March from what I can see on the on order. So yes, I have no concern. 
 And then one of the other things that's happened in COVID is TJX, I believe, when you look at all the branded vendors of the market, we are probably more important today than we've ever been. We're probably more important to the marketplace than we were pre-COVID. When you look at the amount of volume that we're doing with those upstairs brands, I believe that we will continue to be able to leverage those relationships well through '22. So hopefully that answers your question. 
Operator: Our next question comes from Mark Altschwager. 
Mark Altschwager: So understanding that it's too early to talk specifically about sales expectations for next year. Just wondering if you could speak more generally to where you see the incremental opportunity from a category perspective at both Marmaxx and HomeGoods as you cycle these big multiyear comps? 
Ernie Herrman: Yes, Mark, great question. So continuing, obviously, our home category across the board based on the behavioral changes that have taken place with COVID and the way people -- the workplace are either hybrid situations or more virtual or -- I'll give you another one. The way people are very -- and you've probably seen a lot of data on this, people are outdoors more, and probably that will continue, which is affecting which type of apparel the world is selling, including us. I expect all of those related categories to continue to stay at a, I guess, disproportionate percent to our business and trend that way, which we're excited about. 
 Now the home business pre-COVID, for us was already trending. If anyone looks back, it's easy to forget about it, was already trending very strongly. Now we are just trending more off the charts. I do believe that levels off, but leveling off when you're running 30 comp still leaves you in an extremely bullish home trend, I think, for quite a while. And as we've seen and mentioned in the script, our apparel business has been reemerging and really some healthy high single digits here. And I believe we are going to be one of the -- when consumers continue to be value-driven, especially on apparel. I believe we take more market share there as we look out. 
 So I would see -- but then when you look to more of the, I would call it, more of the active-inspired apparel, will continue to be something that we will, I think, shine in, as well as home. And then there are certain accessory categories, I think, we will tend to outpace them. So hopefully, yes, we see a lot of opportunity there. Great question. 
Operator: Our next question comes from Paul Lejuez. 
Paul Lejuez: Ernie, wondering if you could talk about the sourcing of inventory, just maybe how it's different in the current environment relative to a more normal period. Maybe talk in terms of direct source versus in-season versus packaway; maybe the types of vendors you're working with, how that's evolved; and maybe even just frequency and size of buys amongst your different vendors. 
Ernie Herrman: Yes. That was good, Paul. That's a multiple -- you were able to finesse Scott's rules, right? We have like a 5-part. But I like it. 
Paul Lejuez: All the same topic. 
Ernie Herrman: Same topic. Very good. So the sourcing is quite appropriate based on everything going on. So direct sourcing, what we always do -- let's start with we're closeout-driven, okay? So we, in season, hand-to-mouth, buy the bulk of what we do. We buy very opportunistically that way. So that were continuing -- I would say that will continue the way it's going. And we've had -- all indications are, again, what I said earlier, that a lot of those key brands -- by the way, good retail around the board, as you've seen the results. Retail is pretty strong out there, obviously, right? And what that does create though, is for a lot of the public company brands that are wholesalers, it allows them -- they want to keep chasing that business with their more regular price accounts. So it allows them to get bullish knowing that we're always there on the backside for the excess inventory. So let's start with that dynamic that's happening, which will happen more as -- which is why we always like it when everyone's business is good in this environment as we go to next year. I think you're going to see a lot of wholesalers now stepping out to be a little more bullish on their upfront orders for those retailers, knowing that they have TJX for the later, for the cleanup, so to speak. So I think that whole piece, which is probably one of the biggest pieces of our business, is looking forward to a tremendous opportunity as we move forward because of that dynamic. 
 Direct sourcing, I think what you're getting at, which is we all do some business that way. I think that is just a piece where we'll look at if there's a void in a mix, and we'll do it very selectively. 
 What you talked about on packaways. So you mentioned packaways. I think that is something we very possibly, as we come out of holiday, could see a tremendous amount of packaways based on the supply chain challenges that a lot of the other retailers are going to -- the whole market's going to run into. And if they end up with some late deliveries that don't make it in for Christmas, which is very possible, if they didn't plan their cadence correctly, then I think that is going to spill off a great opportunity for us to have increased packaways for next year -- for next fall that we would be buying this January, February. And I'm anticipating that could be a huge benefit to us. I think. 
 I think I'm missing. What's the fourth -- there was a fourth aspect? 
Paul Lejuez: The frequency and size of buys... 
Ernie Herrman: Okay, great. Yes. So the -- wow, so the challenge we've had is we're buying very frequently, and the sizes of the buys vary by vendor a lot. So what's been an interesting dynamic is we have some -- and obviously, we don't talk about them on the call, but we've had some amazing brands, and one moment can have an enormous amount of goods. And it's interesting because they could be trying to unload the goods now a little early, knowing that maybe they're running into trouble later. And then we'll have some other brands that have a lot less and aren't necessarily yielding as much as a brand who's typically as comparable a size. 
 Overall, we're having a slowed -- we've had to slow down as we were getting into the time period here because there's still more availability in total than we could handle. I would say it's a tip -- that piece, ironically, is almost the same as pre-COVID, where you'll read some articles where the brands will say certain brands, and I won't mention who the h*** will say, oh, we're not going to -- we're cutting back on the discount "off-price channel." And -- but they've said that for years pre-COVID. And then what happens is it goes in cycles, where all of a sudden, they say that for 3 to 6 months, and then they are more loaded later. And then -- so we might do less business with a certain brand for 6 months, but we're just going to do more with a different brand for that 6 months. And then the cycle goes back the other way. 
 And what's interesting on this is we watch for those situations, because typically -- and this is better post-COVID, since we mean more to the market in general, I think some of those vendors that are saying they're going to go less to discount are actually the ones that are still going to want to, for the future, place some more orders upfront that allow them reorders with some of the hot retailers, which in turn should come back and leave more availability. Hopefully, that all makes sense. Probably more than you need to know. [indiscernible] It's a great question. Great question. 
Operator: Our next question comes from Chuck Grom. 
Charles Grom: Scott, can you just dive into the offsets you expect to see in the fourth quarter to help offset the incremental 80 to 90 basis points of supply chain pressures? And then any color specific on where you think pretax margins can land in 4Q specifically? 
Scott Goldenberg: Yes. We didn't get -- you'd probably going to be disappointed with my answer. I think it's similar to what Ernie has been alluding to. We feel great about the top line initiatives to drive sales, and our merchandise margin and the cost is -- I think, the biggest thing we called out on the cost is the incremental freight for the fourth quarter in and around that 75 to 100 basis points, 90 basis points more. And a lot will just depend on what the level of the comps are. We said all the other costs are similar to -- similar prices we saw in the last quarter. So not much more to say in terms of where we'll end up. I think a lot will depend again on that level of comps that we're able to achieve. 
Operator: Our next question comes from Kimberly Greenberger. 
Kimberly Greenberger: Okay. Great. Glad to be able to see the momentum in the business. Ernie, I want to make sure I heard you correctly. I think you said the surgical price increase strategy is well underway. I'm assuming that means you started executing it here in the third quarter. It sounds like you've already got a reasonably good kind of level of feedback on how those price increases are being received by consumers with basically no price resistance. I just want to make sure I understand that correctly. 
 And then, Scott, wanted to ask you about the benefit in gross margin. You talked about a nice expansion in the merchandise margin from higher IMU, maybe that's a piece of the pricing, and strong full price selling. But I'm trying to just sort of unpack the moving parts in that gross margin line to uncover or reveal just exactly how great that performance is in merchandise margins. So if you could just help us with some of the moving pieces in gross margin, specifically since you saw that nice boost versus 2019? That would be helpful. 
Ernie Herrman: So Kimberly, yes, let me go right to -- what you thought you heard from me is exactly correct the way you said it. And we did start -- we started very early actually as we were coming out of second quarter and going into third quarter, we were starting to do this pretty aggressively, but surgically. So we did it very selectively, and that's how we're going to continue to do it. And the merchants are doing a great job at approaching it in extremely analytical, and as well as verifying that, again, our out-the-door retail is significantly below anyone else's out-the-door retail. 
 Remember, the foundation of this is what's going on in this country, which is that wages and supply chain costs are hitting really like never before altogether. And it is forcing retailers around us to either promote less or raise their retail. So it is just creating a window of opportunity that we -- and the wage thing. I have no reason to believe that ends. So our teams, yes, started back then. We had a significant amount of the selective adjusting at retails, and we have had very good success during the third quarter. 
Scott Goldenberg: Yes, I'd just echo on what -- we do a lot of customer surveys with our marketing group and everything, and first -- one of the things in the survey is our value perception remains just as strong as ever. So whatever we're doing selective to the retail has had to the best week and determined no impact from a customer perspective, and as I think we said multiple times, we were looking at the turns, the sales, the categories and everything has been consistent and strong, similar to the first and second quarter. So we can't see any impact in. And so that's just from that perspective. 
 In terms of the merchandise margin, we've seen similar again to the second quarter, half of our benefit is coming from reduced markdowns due to the strong sales, and the other is by an increased mark on. We are seeing some cost increases, but we're having a retailing increases that are offsetting some of that. I think one of the benefits to having our average retail come down or improve over the last couple of quarters is as that happens, our cost -- it helps us on our cost structure as well as it takes -- you'll have fewer units to move in our stores, DC and freight. So we're seeing some of the benefit on that as well. 
 But to answer your question, it's about half of our benefit is coming from mark-on and half of it is coming from markdowns. And in total, we offset a bit -- even with the higher freight costs, we went up slightly in our merchandise margin this quarter versus last quarter. 
Operator: Our next question comes from Simeon Siegel. 
Simeon Siegel: Congrats on the great results. Ernie, just your comment earlier about the importance of the upstairs brands. Are you seeing any difference in concentration of the top brands now versus historically? And then sorry if I missed it, did you guys say what percent of inventory was on hand versus in transit? 
Ernie Herrman: Simeon, so interesting question. On the concentration of vendors, well, I would say, it varies by -- it varies by family of business. But yes, I would say there is a little shifting just like the environment has shifted. So certain categories are performing a lot better, which includes certain brands. So what's happening is in those categories that represent certain brands, we're ending up with more brands there. And this won't surprise you. Overall, I would say, in the store, Simeon, we're ending up with some of the more, I guess, you'd call it, casual brands because that's the way the market has kind of gone, if you know what I mean. 
 Having said that, as apparel has kicked back in, we do have some dressier parts of apparel where some of the more traditional brands are still, I would say, they've ramped back up a little bit. But if you look overall, I would say the casual brands have shifted to make up a greater percent of our mix and less dressy, which, again, that's a behavioral issue going on. And probably that type of trend continues for a while. 
 And then I'm not going to do the actual categories, but in home, as you can imagine, that's a greater percent of our business. So we have some home labels that I think we're doing more business with today than we were a couple of years ago that have ramped up, and the complexion looks that way. And what we do, Simeon, is at the end of the day, no matter who the brand is, the buyers are -- their first focus is to make sure we're at the right value. So it's interesting. We won't force -- we try not to -- too much predetermine which brand  we're going to emphasize based on just what the brand is. We kind of do it based on how exciting is the value. I'll let Scott jump in on the second question. 
Scott Goldenberg: Yes. So Simeon, on the inventory, good question. The in-transit on order is up -- it was -- it's up about a little more than 5% in terms of the contribution of that total inventory that we have on our balance sheet, but it was up -- it's similar to where we were up in the second quarter over fiscal '20. So yes, it is in that 5% range more as a percent of the total than it would have been total than 2 years ago. 
 Having said that, our -- as we've said, our -- both store and distribution on a per store basis versus '20 was improved versus the second quarter where we ended at the end of the third quarter versus the second quarter, which also had improved versus the first quarter. So we've -- even despite our sales increases, we've been continuing to improve that inventory position, both in the stores and DCs. 
 Given that we have a fair amount of inventory coming in, it should bode well for the fresh flow of inventory as a lot of -- all of this -- the vast majority of this inventory will be coming in over the next several weeks. So feel good about the fresh flow. I don't know, Ernie, if you have anything. 
Ernie Herrman: Yes. No. I mean I agree with everything that Scott just said. And we're bullish on -- we are just bullish on the way we can flow and availability as we look forward as we addressed on the other question. 
Operator: Our next question comes from Dana Telsey. 
Dana Telsey: Congratulations on the nice progress. Two quick things. As you think about real estate, remodels, relocations, what are you seeing and how is that working for each of the banners? And you mentioned TV and marketing for Europe.  How are you planning your marketing budget this holiday compared to last year? 
Ernie Herrman: All right. I'll let Scott talk on the real estate, and then I'll jump in on the marketing. 
Scott Goldenberg: Yes. Again, I think we're extremely bullish on the real estate, both what we've seen this year. First, in terms of our new store openings, we are -- we've been experiencing as good as ever in terms of beating our -- both our pro formas across our divisions. So that's exciting. As we said, we expect approximately the ability to open 170-plus stores next year, and then historically, get back to that 4% growth where we were over 200 stores a year for many, many years averaging on that with, as you know, very 3 to 5 closings a year. So we love that aspect. 
 In terms of the remodels, we're doing over 300 this year. We don't have a number for next year, but it's going to be significantly higher across our divisions. Part of that is -- and that's something that's very important to us as one of the things that we have just continually seen in this -- all this year we've seen the same thing where there's very little difference when you go from a store that's 10 years old to 20 years old to 30 years old. So part of that is we're just keeping these stores look fresh, and that's why I think our ability to run the comps has been as good as it's doing. 
 And then I think we've also, in the lease rates on both the hundreds of stores that we come to a renewal period, our teams have done a great job across the board in getting lease renewals at lower rates than what we had contracted at. And that's continued all year long. And it's starting, as you get over time, to being some meaningful dollars. So we feel real good about that. And then the availability for the sites and what we're seeing, we expect to see that for years to come given the amount of store closures that have happened in the past 2 years. 
Ernie Herrman: Yes. And on marketing, great question. Our marketing spend -- I mean, we're going after it this holiday in terms of driving -- continuing to gain market share. So our marketing spend is planned up significantly in Q4 versus FY '20, with the idea to keep -- it allows to be top of mind for consumers during the holiday season. As you know, Dana, it gets very noisy around marketing, and we want to break through. Our campaigns are designed to break through as best they can with the budget in terms of our creative campaigns the way we execute them. 
 By the way, more than half of our marketing dollars are going to be allocated to digital advertising, which is where the consumers are. And we're really -- I think I briefly mentioned it, we're really laser-focused on capturing the market share and driving customer traffic, and we'll be reinforcing. And a lot of the messages are really built around the competitive advantages on value that we show, our unique selection. We do that by showing certain product categories to remind the customer that we're going to be in these categories for gift giving. I think that's always key for us, because sometimes, customers forget that we have such a wide assortment of categories. And our goal is really to win discovery shopping occasions, which is roughly half of all shopping occasions where people are seeking inspiration and a bit of our treasure hunt retail therapy that I think we can provide for the customer. 
 And then we're leveraging the power of influencers and brand fans, and we're giving her a choice via multichannel messaging and we're just -- this is how we're spending the money. And I just think we are so well positioned to -- let's start with well positioned with our store execution, our merchandise and then our marketing, to help drive them into the stores. 
Operator: Our next question comes from Michael Binetti. 
Michael Binetti: Let me add my congrats on a great quarter guys. Scott, a couple -- I want to ask you, I know on your comment about pretax margin getting very close to double digits next year, I think is how you phrased it. I know pre-COVID, it's a little too early to plan, but pre-COVID, you always plan the business around a 2% to 3% comp. Is that how we should orient ourselves related to your comment. And then we flex our models up and down with our own assumptions on comps. But is that a fair assumption? 
 And then I'm just trying to think through the puts and takes on how you're thinking about it. You said deleverage on the combination of investments and distribution capacity. But your COVID costs were a pretty big burden this year, your store volumes will be much higher in 2019. I would think freight would be a net benefit to the whole year next year. And I know on the last call, you said you thought it'd be -- freight would be worse than second half, gets a little better next year. And then you have some pricing. So I'm just trying to think through the puts and takes that would end up below double digits next year as you think about it? 
Scott Goldenberg: Yes. Again, too early to make the call. Again, as Ernie said, we feel great about the top line, too. We haven't made a definitive call yet on what we think the comp sales will be over this year, but we... 
Ernie Herrman: Well, I would jump -- I think we're thinking it will be slightly above 2% or 3%, I would say, Michael. Because with this type of momentum and the amount of customer acquisition, I think we'll be a notch above that. 
Scott Goldenberg: So I guess that means 3% to 4%. In terms of the other costs, Michael, the one thing I'd say is that the combination of freight, although not going to be at the outsized delevers that we're seeing this year north of $150 million. We still expect, because of at least the visibility to the first half and to be determined the second, to have more than the normal amount of freight deleverage. So it's still going to be a lot less, but still more than what we would have seen pre-COVID. 
Ernie Herrman: Only in the first half. We're hoping in the second half, Michael, to your point, that we level off on that. 
Scott Goldenberg: Yes. So overall, though, for the year, still would expect it to be more. So the combination of the supply chain wage and freight, yes, less COVID, but we would still expect to see those to be more than what we are seeing pre-COVID. Now we'll -- as we get closer and -- to the end of the year and we see with the retail strategies and how we're buying and what the benefit we're going to get from a higher retail, but yes, we expect the margin to go up, what would it be over this year. The question is just what we'll be able to offset in terms of to drive the margins even higher. 
 Longer term, we, again, feel real good to the ones we have some level of stabilization. As we said that we would expect -- if we have headwinds that are closer to what we saw pre-COVID, that we would -- with a 3% to 4% comp, as Ernie just said on a go-forward basis, we would expect to be flat or leverage our business in the longer term from wherever we end up at the end of next year. 
Operator: Our next question comes from Laura Champine. 
Laura Champine: I wanted to talk about availability on the luxury brands, because we've seen fewer of those in stores, and I know that it's tough to check a material number of stores, but it looks like there's something changing in closeouts for true luxury. Is that -- am I seeing something that's consistent across the chains? Or is that more you buying towards trend and the trend is not on the luxury brands anymore? 
Ernie Herrman: Laura, very good question. I think it's a combination of both, and I think it's a fair observation. I would say in your traditional categories where you might have seen us have a little bit more luxury brands, we have a little less of that right now. But as I mentioned earlier, it's also not where the action is, so to speak, or where all the trends are, which is much more casual, not luxury brands more active but we do have less. 
 I don't think it's a -- I don't think this is a long-term situation. I think this starts to go away as we get into next year on the less luxury brands. And also as the apparel cycle, the more traditional, slightly dressier apparel cycle comes back, I think we'll see more of the luxury brands I know you're referring to. And I think it's an accurate observation on your part. 
 In terms of total brands and best brands as we would call it, by category, varying by category, yes, we're in great shape there. The luxury brands are definitely a little less valid. But I would not think it's a long-term issue. 
Laura Champine: And if I could follow up on with that. Obviously, it's not a material part of sales. And obviously, traffic is great right now. But is there any concern on your part that you might lose some of that treasure hunt customer traffic towards the holidays because that not there on the luxury side? 
Ernie Herrman: No. Well, no, because that side of the business, the true luxury side, was very small to begin with as a percent of our business. And it also becomes more of the self-purchase, not the gift, on the true luxury goods. Yes, there's some gift giving there, but we have a lot of the gift-giving categories and items in depth. So no concern at all on that. 
 And again, no really concern as a medium-term thing because I think this cycle is back as you go to next year. I could tell you -- so that's one that you've noticed. I could give you a few other departments we actually also have a lot less of right. Here's the beauty of our model. There's a few other departments right now that are bigger deal than, say, luxury vendors that we are actually very low on, but we're running in 15 comps. So it's -- the stores are flexing. And as we mentioned in the -- we're able to flex the entire store and go after where the exciting value is. 
 And also what I mentioned earlier is, again, our contract to our customer is to have -- what we have in the stores, to have exciting value and get ready for gift-giving season. And we do that, even though we are at times going to run into pockets of either certain brands or certain departments or categories like I just said, that we're not actually -- that were under on. So yes, there's just other things besides that we're actually light on, and it won't -- we believe it won't impact our performance over holiday. 
Operator: The final question of the day comes from Omar Saad. 
Ernie Herrman: Did we lose you, Omar? 
Omar Saad: Can you hear me? 
Ernie Herrman: Now we can hear you. 
Omar Saad: Sorry about that. I wanted to ask a follow-up on some of the discussions you've been having around the pricing actions you've taken, given the inflationary environment. Maybe -- especially around the term surgical, does that mean only a certain banner? Did you do it across banner? Did you try international? Or do you -- is it only certain products and categories? 
 And also kind of strategically, as you -- are you thinking differently about how you price your goods? Your merchants may be used to use a cost-plus mentality, and now, you're approaching it more from a value perspective, especially given the inflationary environment. Any kind of philosophical change in how you think about price and value would be helpful to understand. 
Ernie Herrman: Yes. No. Again, very good questions, Omar. So let me -- there's 2 key questions you're asking. Let me go at both. They're interesting. No, we did not isolate the strategy to any one banner or any category. So the selective retailing goods applies to Maxx, Marshalls, HomeGoods, or every division we have in Canada, Europe, every banner, Australia. So it is not a -- by any means, and we have all the merchants in every marketplace looking at this. And the approach to your second question, and it's -- I'm glad you asked this because you could think that we actually don't approach a cost plus. That is a formula we don't do. That is a formula that a traditional retailer does. And what our buyers do is they determine the retail first. And almost we say, forget about what the cost is. What's the exciting value retail? And then we work it back from there. And so that's where -- and how do you determine the value of retail? You take your fashion in your brand and you look at where it's being sold at other retailers. And from there, we determine the significant retail gap we need to have between us and the other retail. And that's how we established the retail, not at what the cost is. 
 And that philosophy, I just discussed just now, that is what is being utilized, I guess, you would say, in every division that is doing this. And again, it is international, it's everywhere. And that is what allows us to make sure that the retail is still providing tremendous value, because we're using comp shopping of what is the retail in that item at other retailers, what is it selling for. And that's how we do it. 
 We don't do what the cost is to us or -- and that's what we referred to as a markup wheel, which traditional retailers do, do that. We do not do that. And it's a great question, though, because you want to do one with -- I like the way you asked it because you want one without the -- you don't want to go around surgically address the retailer that we were doing it off the cost, that you could run into trouble. So this, again, good question. 
 Thank you, Omar. And I believe that was our -- Missy, that was our last question for the group. 
 Thank you all for joining us today, and we'll be updating you again on our fourth quarter earnings call in February. Let me just say from the team here at TJX, we hope you all stay well, and we wish you good health and happy Thanksgiving. 
Operator: Ladies and gentlemen, that concludes your conference call for today. You may all disconnect. Thank you for participating.